Operator: Ladies and gentlemen, welcome to the EuroDry Conference Call on the Second Quarter 2023 Financial Results. We have with us today Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Tasos Aslidis, Chief Financial Officer of the company. [Operator Instructions] There will be a presentation followed by a question-and-answer session [Operator Instructions] I must advise you that this conference is being recorded today. Please be reminded that the company announced its results with a press release that has been publicly distributed. Before passing the floor over to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, EuroDry will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to Slide number 2 of the webcast presentation, which has the full forward-looking statement and the statement was also included in the press release. Please take a moment to go through the whole statement and read it. And I now would like to pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning, ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me is Mr. Tasos Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the 6-month period and quarter ended June 30, 2023. Please turn to Slide 3 of the presentation. Our financial highlights are shown here. For the second quarter of 2023, we reported total net revenues of $10.3 million and a net loss of $1.2 million or $0.43 loss per basic and diluted share. Adjusted net loss was $1.3 million or $0.48, adjusted loss per basic and diluted share. Adjusted EBITDA for the quarter was $2.5 million. Please refer to the press release for the reconciliation between adjusted net loss and adjusted EBITDA. The Board of Directors approved the extension of its share repurchase program, which was originally established in August 2022 for another year. The program provided the company with authorization to purchase up to $10 million. Today, we have repurchased 216,000 of our common shares, i.e., about 8% of our total outstanding shares in the open market for about $3.25 million since the inception of the program. The extension of our share repurchase program was approved by the Board of Directors as our stock is trading at a very large discount to our net asset value. Thus, buying our own stock represents an attractive investment opportunity for us. The Board will review the program after the period of 12 months or after the $10 million deployment. Share repurchases will be made from time to time for cash in open market transactions at prevailing market prices or in privately negotiated transactions. The timing and amount of purchases under the program will be determined by management based upon market conditions and other factors. The program does not require the company to purchase a specific number or amount of shares and may be suspended or reinstated at any time at the company's discretion and without notice. We are also very pleased to announce that today we posted our 2022 ESG report on our website. We are committed to launch all 3 elements of ESG, the environment, our social impact and our governance. We are certain that the commitment benefits all our stakeholders in more ways than one. Tasos will discuss financial highlights in more detail later on in the presentation. Please turn to Slide 4 for our operational highlights. After recovery early in the second quarter, the dry bulk market turned down again, reaching by July 2023 the very low level last seen in January of this year. This decline in the market rates also affected our results for the second quarter. Currently, 2 of our vessels continue to be employed under index-linked charters until March 2024 and 2025, respectively, at 105.5% of the Average Baltic Kamsarmax index. To other vessels are fixed at medium-term time charters at currently above market rates, whilst the remaining 6 vessels are employed under short-term charters. You can see the specifics of the various charters concluded in the accompanying presentation, noting the big drop in charter rates since the beginning of the second quarter. During this quarter, we were helped by the 2 FFA positions we had taken in the prior quarter, as we mitigated the effects of the lower charter rates that are still prevailing. We realized a gain of $2.3 million due to these sales. Regarding write-offs and repairs, our motor vessel Santa Cruz and motor vessel Ekaterini P underwent drydock. The former for almost 24 days starting towards the end of the previous quarter, and the latter for [20-22 days] during the second quarter. Furthermore, motor vessel Molyvos Luck was commercially offhire for 2 days during the quarter. The incident that[Indiscernible] during this quarter happened on April 29, 2023, when motor vessel Good Heart was detained by the U.S. Coast Guard at Corpus Christi for certain deficiencies. It took a long time for the deficiencies to be rectified plus EuroDry had to provide a corporate guarantee on behalf of the owner and the managers, each of which posted the security of $2 million for alleged MARPOL violations. The vessel was able to sail on June 7 after these actions. At the moment, there is no litigation, no claims or allegations against us or the manager. We believe that if the there are any, the majority of the costs will be covered by insurance. Nevertheless, we have taken a $500,000 provision in our Q2 accounts. The vessel was technically offhire for about 35 days during this period, which unfortunately resulted in the loss of the vessels laycan period and the cancellation [Indiscernible] $25,000 per day charter, thus forcing us to seek alternative employment. The vessel was finally chartered at $18,500 per day until August 2023, although she had to incur an additional 13 days of rating. At the completion of this current voyage, she will proceed to her scheduled drydock. Please turn to Slide 5, which shows the main particulars of the 10 vessels of composed of fleet, which includes 5 Panamax, 2 Ultramax, 2 Kamsarmax and 1 Supramax dry bulk carriers with a total cargo capacity of approximately 730,000 deadweight tons and another at the age of around 13.5 years. Now please turn to Slide 6, which graphically shows our fleet employment. As you can see, our current fixed rate coverage for 2023 stands at around 31%. This figure excludes ships on index charter, which are open to market fluctuations that have secured employment. We currently trade our vessels in short-term charters reflecting the current state of the market. As in these rates increase, we will aim to secure longer-term charters for some of our vessels. Turning on to Slide 7. We go over the market highlights for the quarter ended June 30, 2023, up until last week. In the second quarter, we saw a much weaker dry bulk market across all sectors with the rates taking the tumble towards the end of the second quarter. During the second quarter of 2023, the average Panamax spot rate was around $10,500 per day. By June 30, spot rates have dropped to approximately $7,900 per day. And currently, we have increased a little bit to $8,700 per day. [Indiscernible] 1-year time charter or Panamax was approximately $14,100 per day during the second quarter, while the rates started trending low to about $11,900 per day by June 30 and the currently standing at $ 10,725 per day. We witnessed a similar development with Supramaxes with declining rates. However, we have not seen this slight uptick in the recent days, as we currently do in the Panama spot market. Please turn to Slide 9. With its latest update in July 2023, the IMF latest forecast is modestly higher than its prior predictions in April. However, still weak by historical standards. Global growth is projected to fall from an estimated 3.5% in 2022 to 3% in both 2023 and 2024 from previous predictions of 2.8% for 2023 and 3% in 2024. A much slowdown in global activity is anticipated in the second half of 2023 and first half of 2024, but not a recession with a look for a gradual stabilization in the second half of 2024. The latter supported by the rate cuts in many areas around the world and the expectation that inflation will continue to fall. [Indiscernible] opening appears to be uneven and volatile, even stalled some might say. New softness in the housing market, growing concerns on local government financing risks and an uncertain external environment for the export sector, weigh on the economies near-term growth path. Still, China's growth forecast of 5.2% in 2023 and 4.5% in 2024, remains unchanged while growth in other emerging and developing countries is projected to defy the overall global economic slowdown. There is strong demand from India, which has delivered the biggest upside price so far this year, with a high GDP growth in Q1 that exceeded expectations. This was driven by strong government CapEx and services, exports standing out against other parts of the world. Despite the general global slowdown, the U.S. economy is focused to moderately grow by 1.8%, which compared to the previous IMF growth focus of 1.6%, seems to suggest that U.S. can potentially avoid the recession concerns in the second half of 2023. However, the IMF seems to have allowed this growth to projections for the U.S. for 2024, down to 1% from it's 1.1% growth forecast. On the other side of the world, the Russian economy is faring better than expected. We have revised the estimate of 1.5% for 2023 from just 0.7% previously. Despite the effect of the sanctions with the Western financial markets and many export markets for Russian companies and commodities closed. Europe is slow and will continue to be slower than earlier predicted, with a near 0.9% growth in 2023, and 1.5% growth in 2024. Finally, according to the IMF, the only important area is for shipping India, China and ASEAN-5 will all continue to grow at the rate between 4.5% to 6.3% during both 2023 and 2024, the graph suggesting the dry bulk cargo demand could hold up well. This view is reflected in the latest Clarksons forecast and despite the slightly slower overall global growth expectations, drybulk trade demand is expected to return to a steady growth of 3.3% this year and 2.4% in 2024. The drybulk trade growth is improving, driven by the Far East and the geopolitical tensions, which boost tonne-mile growth. Please turn to Slide 10. The order book continues to fuel positive market sentiment as it remains one of the lowest in history. The order book as a percentage of total fleet as on July 2023 stands at just 7.4%. This suggests minimal fleet growth over the next 2 to 3 years, potentially leading to higher markets even when historically other demand grow. Additionally, over the next couple of years, environmental regulations could further influence supply growth even by forcing some vessels to retire or using the operational speed. Turning to Slide 11. Let us now look into supply fundamentals in a little bit more detail. According to Clarksons latest report, new deliveries as a percentage of total fleet are expected to be 3.8% in 2023, 3% in 2024 and 2.4% in 2025. As of July '23, the total dry bulk vessel operating fleet was 13,350 vessels, but the actual fleet growth is expected to be lower than the aforementioned figures due to scrapping and slippage. 8% of the fleet is older than 20 years old and a good candidate for scrapping, especially if the market remains at current levels. Please turn to Slide 12 to summarize our outlook for the dry bulk market. The dry bulk market drifted downwards for most of 2023 Q2, while geopolitical uncertainties remain. Weaker trends in key regions such as European coal imports and the Chinese real estate sector, coupled with lower port congestion, which has active supply contributed to this market weakness across the sector. Aside from lower port congestion woes, slower speeds are moderating this active supply growth because newly introduced emission regulations will result in slow speeds. Also, the macroeconomic environment improved during the quarter as inflation started coming down in many countries around the world and [Indiscernible] analyst revised the economic outlook forecast upwards. Nevertheless, uncertainty remains over the scale and timing of potential market improvements with a range of scenarios surrounding key factors, including the global and chinese economy as discussed and therefore mentioned supply impacts from regulations. On balance though, some improvement in earnings is expected to materialize in the coming quarters as supply demand fundamentals appear more balanced for the remainder of 2023. We drive trade volumes up, especially for iron ore and coal and the modest casual fleet growth on the supply side, we would expect that we will have a strong foundation for rates to increase further in 2024, provided the global economy continues to grow as per recent analyst focus. Let us now turn to Slide 13. The left side of the slide shows the evolution of 1-year time charter rates of Panamax dry bulk vessels since 2002. As of August 4, the 1-year time charter rate for the Panamax vessel with a capacity of 75,000 deadweight tonnes, stood at $10,725 per day, lower than the median. On the other hand, you can see the historical price range for a 10-year old Panamax vessel, which has a current price of $21.5 million. Over the past year, dry bulk prices have been gradually coming down from the previous high levels, yet they are still higher than historical average and median prices. The different development of vessel prices and market rate has become the [Indiscernible]. The former remained at relatively high levels, while charter rates have declined significantly. As prices have started to retreat, we are conservatively positioning the company to take advantage of a probable improvement in rates in the following quarters. Our strong balance sheet will continue to be used to further stock repurchases and potential vessel acquisitions. Let me now pass the floor over to our CFO, Tasos to go over various financial highlights in more detail. Tasos, the floor is yours.
Tasos Aslidis : Thank you very much, Aristides. Good morning from me as well, ladies and gentlemen. Over the next 4 slides, I will give you an overview of our financial highlights for the second quarter and first half 2023, in comparison to the same period of last year. Let's turn to Slide 15. For the second quarter of 2023, the company reported total net revenues of $10.3 million, representing a 50.7% decrease over total net revenues of $21 million during the second quarter of last year, the decrease was mainly the result of the lower time charter rates or vessel served during the second quarter of this year compared to last. And secondly, the increase of idle period of vessel Good Heart as Aristides mentioned. The company reported net loss for the period of $1.2 million as compared to a net income of $10.6 million for the same period in the second quarter of last year. Interest and other financing costs for the second quarter of 2023 amounted to $1.4 million compared to $0.8 million for the same period of 2022. Interest expense during the second quarter of this year was primarily mainly due to the increased amount of debt that we carry and the increased LIBOR and SOFR rates, our loans get over the period compared to last year. Interest income for the second quarter of this year stood at about $140,000 compared to practically low interest income during the same period of 2022. Adjusted EBITDA for the second quarter of 2023 was $2.5 million compared to $13.7 million during the second quarter 2022. Basic and diluted loss per share for the second quarter of 2023 was $0.43, calculated on about 2.76 million weighted average number of shares outstanding compared to earnings per share of $3.66 basic and $3.61 diluted completed to about 2.9 million worth average number of shares outstanding for the second quarter of 2022. Excluding the effect on the loss of the unrealized gain on derivatives, the adjusted loss for the quarter ended June 30, 2023, which has been $0.48 per share base and diluted, compared to the second quarter of 2022, where we will have $3.43 basic and [$3.38] diluted income per share respectively. Usually secured channels do not include the unrealized part of the earnings in the [Indiscernible] segment, and that's why we adjust our results as well. Let's now look as the number for the corresponding 6-month periods ending June 30, 2023 and 2022. For the first half of this year, the company reported total net revenues of $21.7 million, representing a 44.8% decrease over total net revenues of $39.3 million during the first half of 2022, again the result of lower time charter rates our vessels during the first half of this year. The company reported net loss for the period of $2.7 million as compared to a net income of $21.1 million during the first half of 2022. Interest and other financing costs for the first half of 2023 amounted to $2.9 million compared to $1.4 million for the same period of last year. This increase, again, is mainly due to the increased amount of debt [Indiscernible] increase in the benchmark rates or launch set to pay compared to the same period of the previous year. For this period as well, we get interest income, which amounted to almost $0.4 million compared to practically noninterest income during the same period of 2022. Adjusted EBITDA for the first half of this year was $4.8 million compared to $26.4 million achieved during the first half of 2022. Basic and diluted loss per share for the first half of this year was $0.98, calculated on 2.8 million base diluted weighted average number of shares outstanding, compared to gain of $7.35 basic and $7.25 diluted for the same period, first 6 months of 2022. Again, we exclude the effect from the loss for the first half of this year, the unrealized loss of derivatives, the adjusted loss attributable to common shareholders for the 6 months year ended June 30, 2023, would have been $0.33 basic and diluted, as compared to a gain of $6.77 basic and $6.68 diluted for the first half of 2022. Let's now move to Slide 16 to review our fleet performance. As usual, we will start our review by looking at our fleet utilization rate for the second quarter of 2023 and compared to the second quarter of 2022. Our fleet utilization rate is broken down to commercial and operations. During the second quarter of 2023, our commercial utilization rate was 98.3%, while our operational utilization rate was 95% compared to 99.4% commercial and 99% operational for the second quarter of last year. On average, 10 vessels were owned and operated during the second quarter of 2023, earning a time charter equivalent rate of $12,179 per day compared to 10.79 vessels that we own and operated during the second quarter of last year and [Indiscernible] almost twice as March $23,490 per vessel per day. Our total daily operating expenses including management fees, averaged $6,780 per vessel per day during the second quarter of this year compared to $5,806 per vessel per day for the second quarter of 2022. General and administrative expenses, expect per day per vessel basis amounted to $876 for the second quarter of 2023 compared to $695 for the second quarter of last year. If we move further down in this table, we can see the cash flow breakeven level, which we had to pay for the second quarter of this year, and which takes into account drydocking expenses, interest expenses, loan repayments and dividends is paid in cash. We had no dividends for this period. Thus, for the second quarter of 2023, our daily cost flow operative rate was $14,120 per vessel per day compared to 11,980 per vessel per day for the same period of last year. Now let's go to the right part of this table to look at the figures for the first half of 2023 and compare them with the equivalent period of last year. During the first half of 2023, our commercial utilization rate was 99%, and our operational utilization rate was 99.7%, compared to 97.4% commercial, and 99.3% operational for the same period of last year. On average, 10 vessels were owned and operated during the first half of the year, having a time charter equivalent rate of $11,393 per vessel per day, compared to [10.17] vessels we operated during the same period of 2022 and on average, $24,025 per vessel per day. Our vessel operating expenses, again, including management fees were $6,424 per vessel per day for the first half of '23, from $5,860 per vessel per day for the same period of last year. And G&A expenses again expressed on a third day per vessel basis were $882 this year compared to $778 for the first 6 months of 2022. Similarly, looking at the bottom of this table, we can see the cash flow breakeven rate for the first half of 2023, which, as I mentioned, [Indiscernible] drydocking expenses, interest expenses and loan repayments. In 2023, we had $13,661 per vessel per day compared to $12,387 per vessel per day for the same period of last year, as we paid higher operating, dry docking and interest expenses, partly offset by lower loan repayments. Let's now turn to the next slide, Slide 17 to review our debt profile. As of June 30, 2023, we had outstanding bank debt of about $78 million. Looking at the chart on the top of the slide, you can see that our debt repayments during the first half of this year amounted to about $17.8 million, including the balloon payment, which was subsequently refinanced with $5.7 million scheduled for the second half of 2023. In 2024, our debt repayments are set to decrease to $9.7 million, excluding any balloon payments, followed by the further decrease down to $6.76 million in 2025 and 2026, respectively. As of June 30, 2023, the average margin on our debt is about 2.64%, in which we had SOFR rate of [5.37%] and [Indiscernible] portion of our debt covered by our interest swaps, swaps contracts, we estimate that the total cost of our senior debt at the end of the quarter start [Indiscernible] 7.7%. At the bottom of the table, we can see our projected cash flow breakeven rate for the next 12 months, blocking down to its various components. Overall, we expect the customer breakeven level of around $12,815 per vessel per day. In the same chart in the mid, you can see our EBITDA breakeven rate, which includes our operating expenses, G&A expenses and drydocking costs, and we expect about $8,139 per vessel per day. Let's now move to the next slide, Slide 18, the last slide of my brief over our financial results. You can see in this slide, some highlights from our balance sheet in a simplified way. [Indiscernible] 2023, cash and other assets stood on our balance sheet at about $48.6 million. The book value of our vessels was approximately $134 million, resulting in a total book value of our assets of about $192.6 million. On our liability side, our debt as of June 30, 2023, as I mentioned earlier, was around $78 million, representing 54.2% of the book value of our assets, while other liabilities amounted to $4.1 million or 2.7% of the book value of our assets, which in turn resulted in book shareholders' equity of about $110.7 million, translating to $39.1 per share. However, based on our own estimates and market transactions, we estimate that the market value of our vessels was above their book value and stood at about $173 million, suggesting that our NAV per share to be in excess of $49 per share. Recently, our share price is trending around $14, thus representing a steep discount to our net asset value, which in terms of debt, significant appreciation potential for our shareholders and investors. And with that, I conclude my remarks, and I turn the floor back to Aristides to continue the call.
Aristides Pittas : Thank you, Tasos. I now open up the floor for any questions we may have.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Tate Sullivan with Maxim Group.
Tate Sullivan : You mentioned a strong foundation for higher rates and positioning the fleet. Is that mainly moving off of more FFAs? Are you repositioning ships? Or what did you imply by that.
Aristides Pittas: Mainly, we are trading our ships spot at this stage because freight rates are low in anticipation of higher freight rates. So we will be able to capture the market. Of course, we are not taking out any FFAs to hedge the positions at these levels. We are really preparing ourselves to be ready to capitalize on the strengthened market if that happens.
Tate Sullivan : And you gave a lot of detail on the Good Heart and the MARPOL violation. Did that possibly reflect more stringent regulations in that specific port? Or can you give detail to start there, please? And was that the first on MARPOL violation for your fleet?
Aristides Pittas: Yes. I spend some time on it because it was a relatively big incident. The vessel was out of service for 48 days for us, and we incurred a few expenses there, and it was one of the reasons -- probably the main reason why we didn't have a profitable quarter as we thought we would have had despite 2 dry dockings that we had during this quarter. So that's why I spent some more time on that. There has been no specific allegation of any wrongdoing, but it might come. But we are insured for that. I don't think it reflects any significant change in anything. It was just an unfortunate incident that may happen and happened during this instance.
Tate Sullivan : What did the commentary about future -- the potential future $2 million payments reflect? And did you say you posted a reserve of $500,000 for that? And does insurance cover if that -- is the amount of $2 million? Can you put some context to those numbers?
Aristides Pittas: Sure. We had to post a guarantee for $2 million for EuroDry and for $2 million for the managers. So it's essentially a guarantee for $4 million, which is, by far, the maximum amount that we may need to pay if we -- if indeed that has occurred, and [Indiscernible] with the Department of Justice. So this is a maximum that would be payable. In previous instances that we have seen in the past, amounts up to 1.5 million have been paid for that -- for similar things. We think that this will be covered by insurance. There will be some costs that will not be covered by insurance, which is why we have agreed to put up a reserve on our accounts to take a provision for $500,000. We don't expect that we will need to pay anything in excess of that.
Tate Sullivan : Okay. And then, I mean, with the cash breakeven level, I mean, just my last on that point of -- you said around 14,000, that number excluding the Good Heart? I mean, would it been closer to 12, 12.5, do you have that number handy here. Maybe we can take it offline.
Aristides Pittas: That number, the cash breakeven includes loan repayments and everything.
Tasos Aslidis: It includes a bit of elevated expenses from Good Heart.
Tate Sullivan : Okay. I'll back into that. And then on the potential slow steaming, I mean you mentioned energy efficient, existing ship index, EEXI, the CII carbon intensity indicator rating? And then maybe some changes with the EU carbon tax going forward? Has there been any -- are you preparing for any potential -- I mean, financial situations with any of those regulations? Or anybody experienced any financial implications or could they in the fleet? And maybe it's a topic for an off-line discussion as well?
Aristides Pittas: Yes. No, this is a nice topic for a general discussion. Very briefly, the EU ETS regulation that will come in the effect as of next year will affect financially the charterers mainly that wants to bring goods into Europe or out of Europe. So it won't really affect us. In particular, it will affect Europe. The other regulations, the main effects that they will have is that they will result in us needing to go at lower speeds. If ships go at lower speeds is a positive, obviously, for the market because it effectively reduces supply vessels. Of course, all companies are taking measures to try and reduce the carbon footprint, and we are doing the same. This is done through some modifications that one can do on the vessel. This is through technological developments, use of digitalization and things like that.
Tate Sullivan: Thank you for all the comments.
Operator: [Operator Instructions] Our next question comes from Kristoffer Skeie with Arctic Securities.
Kristoffer Skeie: Thanks a lot for running through the market, and I appreciate all the color on the numbers. Just want to sort of first touch upon the market. What do you see as a sort of near-term catalyst for any improvement in the rates. It seems like it's a bit sluggish and not that directional currently. Do you believe that we might see any revival of congestion during second half? I mean you've seen the Panama Canal, the restrictions there have led to some improvement, at least for the container liners now, do you think that will make sure for the drybulk vessels as well?
Aristides Pittas: I think that congestion has been extremely little during the last couple of months, abnormally little. There are bound to be effects, I think that will increase it. Also, there is historically an increase in the demand for certain cargoes during the third quarter and the fourth quarter. So this historical increase, I think, will happen again. And we are coming out of the seasonally quiet period. Thus, we think that we will see improving rates. But as I said, there are various conflicting views now and possibilities that can happen. So it's really difficult to call the market at this stage.
Kristoffer Skeie: And with regards to that, I mean, you have had this great overview over 1-year time charter rate versus asset values. And it seems like values are disconnected now from rates. What's your view on that? I mean, you touched upon it, but do you believe that values are set to come down or that [Indiscernible] disconnect, it typically don't last that long that is my experience.
Aristides Pittas : Yes. You're absolutely right. That's why one has to give by the values have to drop significantly or charter rates to improve further. Currently, charter rates are not improving. So we have started to see values dropping a little bit. We will have to see how this whole thing plays out. But the values during this last month in July did see some headwinds and they draw and they are on a dropping mode. We will have to see what will happen. There is an expectation by most owners that because of the very low order book at some point when demand picks up, we should see a significant revival in charter rates. I think this is a valid expectation.
Kristoffer Skeie: Yes. I totally agree. And I mean, with regards to -- I mean, you have '24 and '25 and growth looks extremely promising. So it should provide sort of a backdrop in terms of asset values. And with that in mind, how do you consider share buybacks compared to vessel acquisitions?
Aristides Pittas : Vessel acquisition is something that we are – Yes, I’ll tell you. I think I know where you’re going. Vessel acquisitions, we will – we are considering at this stage because the company – I think that if prices drop a little bit, we will be able to see profitable projects in the market. But still one of the most profitable projects is to buy back our own stock, which is trading at such a significant discount to our NAV. So definitely, we will continue the process of repurchasing stock. And we are looking at the possibility of maybe acquiring one more vessel.
Operator: Thank you. [Operator Instructions] There are no further questions at this time. I would now like to turn the floor back over to Aristides for closing comments.
Aristides Pittas: Well, thank you all for listening in to our today's conference call. We will be back to you in 3 months' time. Enjoy the rest of the summer.
Tasos Aslidis: Thanks, everybody, for attending.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.